Operator: Good day, ladies and gentlemen. Welcome to the Domtar Corporation Third Quarter 2019 Earnings Conference Call with Financial Analysts. At this time, all participants are in listen-only mode. [Operator Instructions] As a reminder, this call is being recorded, today is 25 October, 2019. I would now like to turn the meeting over to Mr. Nicholas Estrela. Please go ahead.
Nicholas Estrela: Good morning and welcome to our third quarter 2019 earnings call. Our speakers today will be John Williams, President and Chief Executive Officer; and Daniel Buron, Senior Vice President and Chief Financial Officer. They will be supported by Michael Garcia from our Pulp and Paper division; and Michael Fagan from the Personal Care division. John and Daniel will begin with prepared remarks, after which, they will take questions. During the call, references will be made to supporting slides and you can find this presentation in the Investors section of the website. As a reminder, all statements made during the call that are not based on historical facts are forward-looking statements, subject to a number of risks and uncertainties, many of which are outside our control. I invite you to review Domtar's filings to the Securities Commissions for a listing of those. Finally, certain non-U.S. GAAP financial measures will be presented and discussed and you can find a reconciliation to the closest GAAP measures in the appendix of this morning's release as well as on our website. So, with that, I'll turn it over to John.
John Williams: Thank you, Nick, and good morning, everyone. Earlier today, we reported EBITDA before items of $147 million. This is a significant quarter-over-quarter improvement, driven by good operating performance across the board and lower maintenance and costs notably wood, fiber and freight. These factors offset lower prices for pulp and market downtime costs incurred by several of our paper mills. In our Paper business, industry uncoated freesheet demand was lower than expected in quarter three, but our volumes were relatively stable. We took approximately 125,000 tons of market downtime during the quarter and also reduced our inventories by nearly 19,000 tons. Despite the downtime, our paper machines ran well and cost performance was strong, resulting in a 300 basis point margin expansion for this business. In Pulp, downward price adjustments continued in most regions, but we are beginning to see an improvement in supply and demand fundamentals. Global shipments for softwood pulp were higher in July and August, driven by increased volume to China, which helped reduce global inventory levels. In Personal Care, we made excellent progress in executing our business plan, with a strong focus on commercial initiatives and cost performance. EBITDA finished ahead of quarter two, driven by improved input costs and better manufacturing efficiencies as our teams continue to deliver on our margin improvement plan. We're also ramping up new business and looking forward to volume growth in the future. On a consolidated basis, we generated $108 million of operating cash flow in the quarter and $282 million year-to-date. So we continue to trend well. We did take advantage of our strong balance sheet and the reduction of our stock price during the quarter to return additional capital to shareholders through share repurchases. Our solid financial position gives us the flexibility to reward shareholders and fund long-term opportunities. And we remain committed to allocating capital to both. Looking forward, we will continue to maximize profitability and cash flow by focusing on the things we can control. This means balancing our paper production with our customer demand, expanding our market pulp volumes, continuing to improve our Personal Care business and continuous improvement in productivity and manufacturing costs in our Pulp and Paper business. During the quarter, we released our 2019 sustainability report that details some of our environmental, social and governance achievements. The new report highlights our progress and challenges towards our 2020 goals and shows what we have achieved. This includes a 57% reduction in our recordable safety incident rate a 15% reduction in greenhouse gas emissions of pulp and paper mills, 38% of the fiber procured for our pulp and paper mills was certified 72% of the energy used in our pulp and paper mills came from renewable biomass fuels and we had a 19% reduction in waste and landfill from our network. We and our investors care about how efficiently we use natural resources in our manufacturing, how we support our communities, how we reduce greenhouse gas emissions and how we develop our employees and keep them safe. We believe that caring about our environment, our communities and our people helps us better meet our business objectives and deliver returns for the long-term. With that, let me turn the call over to Daniel for the financial review before making some further comments on our third quarter performance and fourth quarter outlook. Daniel?
Daniel Buron: Think you, John and good morning, everyone. Let's start by going over the financial highlights of the quarter on slide 4. We reported this morning, net earnings of $0.32 per share for the third quarter compared to net earnings of $0.28 per share for the second quarter of 2019. Adjusting for items our earnings were $0.89 per share in the third quarter compared to earnings of $0.57 per share for the prior quarter. EBITDA before items amounted to $147 million compared to $133 million in the second quarter. Turning to the sequential valuation in earnings on slide 5. Consolidated sales were $34 million lower than the second quarter. Depreciation and amortization were $2 million lower while SG&A was $11 million lower than the second quarter largely due to mark-to-market of stock-based compensation. In the third quarter we recorded an income tax benefit of $1 million due mostly to the recognition of previously unrecognized R&D tax credit and a reduced expected tax rate for the year 2019. Now turning to the cash flow statement on slide 6. Cash flows from operating activities amounted to $108 million while capital expenditures amounted to $56 million. This resulted in free cash flow of $52 million in the third quarter. During the quarter we paid $28 million in dividend and repurchased approximately 3.9 million shares for a total of $137 million or $35 per share. $131 million of the share repurchase were cash settled in Q3 and the rest was cash settled in the first few days of Q4. Turning to the quarterly waterfall on slide 7. When compared to the second quarter EBITDA before items increased by $14 million due to lower maintenance costs for $27 million, lower raw material costs for $19 million, lower SG&A cost for $10 million, lower freight cost for $7 million and lower other costs for $5 million. These were partially offset by lower average selling prices for $47 million and lower positivity all related to paper market downtime for $7 million. Now the review of our business segments starting on slide 8. In the Pulp and Paper segments sales were 2% lower when compared to the second quarter and 7% lower when compared to the same period last year. EBITDA before items was $126 million compared to $123 million in the second quarter of 2019. Our Paper business on slide 9. Sales were 1% lower versus last quarter and were 3% lower versus the same quarter last year, while estimated EBITDA before items was $139 million or 18% margin.  Manufactured paper shipments were 1% lower when compared to the second quarter and 8% lower versus the same period last year. Average transaction prices for all our paper grades were $3 per ton lower than the last quarter and our September exit price for paper was $13 per ton lower versus the quarter average. Let's turn to the Pulp business on slide 10. Sales were 5% lower versus last quarter and were 15% lower versus the same period last year. Estimated EBITDA before items was a negative $13 million. Excluding the extended maintenance outage at our Espanola mill pulp EBITDA would have been positive in the third quarter. Pulp shipment were 12% higher versus the second quarter and up 7% when compared to the same period last year. Average pulp prices decreased $106 per metric ton versus the second quarter and our September exit price for pulp was $18 per metric ton lower than the quarterly average. Our paper inventory decreased by 19,000 tons when compared to the last quarter while pulp inventory decreased by 9,000 metric tons. Our Personal Care on slide 12. Sales decreased 4% when compared to last quarter and were 4% lower versus the same period last year, largely due to planned exit of unprofitable customers. EBITDA before items was $25 million, $4 million higher than the second quarter. Finally on slide 13. Planned maintenance expense is expected to be $8 million higher in the fourth quarter when compared to the third quarter. So this concludes my financial review. With that, I will turn the call back to John.
John Williams: Thank you, Daniel. Paper markets remained challenging in the third quarter, but we are seeing signs that the inventory bubble experienced throughout 2019 is beginning to normalize. We've been responding to imbalances in supply and demand by matching our production to our customers' demand. In addition to market downtime in both the second and third quarters, we recently announced the permanent closure of two paper machines; one at our Ashdown, Arkansas pulp and paper mill; and the second at our Port Huron, Michigan paper mill. These actions reduced our annual uncoated freesheet paper capacity by approximately 204,000 short tons, while providing us with 70,000 tons of additional softwood market pulp at Ashdown. I wish to sincerely thank our colleagues impacted by the closures and recognize their hard work and contributions to Domtar over many years. This announcement is a step towards our next repurposing project as we discussed with you late last year. We still have the flexibility to go with four facilities into growth markets with significant optionality for both linerboard and pulp. In quarter three, imports retreated somewhat compared to quarter two, but do remain high when compared to 2018. And we're pleased that the U.S. Department of Commerce has decided to initiate an inquiry on the anti-circumvention case on converting rolls. The decision is an important first step in our fight to end the unfair trade practices targeting the U.S. market and to restore a level playing field. As the trade case progresses, we will closely monitor our paper supply in relation to our customer demand. In pulp, our average prices were down quarter-over-quarter. Our volumes were higher sequentially with a solid volume performance in China as we supported key customers and increased our shipments in growing end-use markets. Fluff pulp volume was up with growth in key markets and key customers. Looking ahead, global pulp markets remain uncertain and will continue to be influenced by a number of factors, including macroeconomic conditions, trade disputes and inventory levels. We have, however, begun to see indications of a floor for our pricing. On operations, we went well despite the lack of order downtime in paper and the extended maintenance work at our Española mill. As we mentioned at our second quarter earnings call, we're planning for an additional 40-day pulp outage at Espanola to start in late October and run through November to replace the recovery boiler generating bank and complete some remaining repairs. Paper machines are running well and will operate through the boiler repairs. In Personal Care, we had a solid performance and continue to make progress against our targets. It's been 12 months since we announced our margin improvement plan and I'm pleased with the milestones we have achieved. Quarter three EBITDA was one of the better performances in several quarters, while margins improved to 11%, the highest in nearly two years. We've streamlined our manufacturing footprint and repositioned our assets to match our markets. We've optimized our supply chain and standardized our operational work systems and we reduced complexity in our products and customer mix. All of these initiatives have allowed us to rightsize this business for profitable growth in 2020 and beyond. Turning to capital allocation. We'll continue to pursue our balanced approach by investing to support our core businesses while returning capital to shareholders. In quarter three, we returned $159 million to share owners, consisting of $131 million of share repurchases and $28 million of dividends. For the year-to-date, we've returned a total of $222 million in dividends and share repurchases, compared to $81 million for the same period last year. Moving now to our outlook for the fourth quarter. Maintenance costs are expected to be higher than in quarter three while paper is expected to be negatively impacted in part by a seasonally unfavorable mix. We do anticipate some volatility in softwood and fluff pulp markets, while Personal Care is expected to benefit from improved margins and increased sales driven by a stronger order book. Thank you for your time and support. And I'll now turn the call back to Nick for questions.
Nicholas Estrela: Thank you, John. So both John and Daniel will be available for questions. As usual, I would ask our participants to ask a few questions at a time and return to the queue for follow-ups as we want to get as many people as possible. Tania, you can open up the lines for questions.
Operator: Thank you. [Operator Instructions] We will now take our first question from Anthony Pettinari from Citi. Please go ahead, sir.
Anthony Pettinari: Hi. Good morning.
John Williams: Anthony, good morning.
Anthony Pettinari: John you talked about supply-demand fundamentals potentially improving in pulp and maybe a floor on pricing. I was wondering if you could give a little more detail on what you're seeing. And then just looking at preliminary price for October, it looks like softwood grade fell despite a price hike that's out there, just wondering if you could provide a little more color on the kind of current North American market conditions?
John Williams: Yes, certainly. So, I mean, as we said, a little bit of softness, but nothing dramatic. So kind of bumping along the bottom, I think one would say probably in North America. I think more importantly, we obviously have a large business in Asia and we're seeing there strong demand and a sense that there is a little bit of a beginning of the lower part of the market moving slightly upwards. So to our mind, this looks like we're bumping along the bottom. It doesn't look as if there's sort of more to come. Obviously, quarter-to-quarter our comparison isn't helpful just because it couldn't beat the quarter end pricing versus the average quarter pricing. So I think that's how I would categorize it. There's a report I think out this morning from PPI Asia, which I think gives you a pretty good sense of what's happening there and we pretty much agree with that analysis.
Anthony Pettinari: Okay. That's helpful. And then I'm wondering if you could provide an update on the current thinking around potential mill conversions into containerboard and/or pulp. And specifically, how does the closure of Ashdown and Port Huron impact that thinking, I think Ashdown was one of the four mills you've identified as a candidate?
John Williams: Yeah, sure. So obviously we're still running a paper machine in Ashdown. So it's a ways away. And as we've said before in that particular facility, we have the sort of optionality of pulp or containerboard. So our thinking stays very much the same. We know we have some very strong assets that are capable of manufacturing that grade. And we have the optionality. We believe as our core Paper business declines to make those choices, that hasn't really changed in our thinking.
Anthony Pettinari: Okay. That's helpful. I’ll turn it over.
John Williams: Thanks.
Operator: [Operator Instructions] We will now take our next question from Brian Maguire from Goldman Sachs. Please go ahead.
Brian Maguire: Hi. Good morning everyone.
John Williams: Brian, good morning.
Brian Maguire: John just a question on the share repurchase in the quarter. Obviously, it's a lot bigger than you've done in quite a long time. I guess, you've commented would you say is opportunistic to try to take advantage of the depressed stock price versus might say though a little bit of a pivot in the capital reallocation strategy. I know you have some targets out there for returning a certain percentage of net income across the cycle and that can be lumpy and maybe this is an example of the lumpiness there. But if you look at the where the stock price is even on a day like today lower than where it's been in the past, do you think that that is still a better use of cash than it's been in the past considering your balance sheet is still in pretty good shape?
John Williams: That's a great question. I mean, you've almost answered it in terms of the way we see it. So yes, it's opportunistic. Yes, we felt it was great value. So, of course, we have the choice to buy back and took it. We haven't done that over the last few years and felt it was a great opportunity so to do. So I don't think it represents the kind of pivot in our thinking it's really more continuation of our thinking. And we also -- I guess, if you look at the way the money comes into the business in terms of our cash flow, because pulp is such a driver sometimes of our share price we can still have a strong cash flow from our Paper business when the share price is low and we felt we should take opportunity. We should take that opportunity, which we did.
Brian Maguire: Okay. And just a question on the conversions. Obviously, when you initially kind of announced that a little over two years ago, virgin capacity for linerboard was looking attractive relative to recycled. Now, the tables have turned and we've been hearing some virgin-based guys invest in OCC capacity to try and switch the feedstock more towards recycled. Do you think in the current environment that it makes sense to really be pursuing conversion? I know you haven't announced you're going forward with it right now, but given the current kind of cost curve that’s out there between recycled and virgin, do you think that this is something that's still a good idea?
John Williams: Well, I think, we have to continue to way our thinking. As I think I've said before, it's not a short-term decision you're going to make. I think if we felt that differential was structural forever in a day, that might change our thinking. I think if we think its temporary, our thinking remains pretty much where it is. And of course one of our mills actually we will probably take to recycle, because that just makes sense. So I don't think that's dramatically altering our thinking at this moment in time.
Brian Maguire: Okay. I'll turn it over. Thanks.
John Williams: Thanks.
Operator: We will now take our next question from Mark Wilde from BMO Capital Markets. Please go ahead.
Mark Wilde: Good morning, John. Good morning, Daniel.
John Williams: Hi. Good morning
Daniel Buron: Good morning 
Mark Wilde: John I do want to compliment you on the timing of the share repurchase, I think it was well executed. I want to, however, also turn to the closures at both Ashdown and Port Huron and see if you can give us a little more color on those decisions. Port Huron, as I recall, is not really a commodity uncoated freesheet mill, it's more of a like a specialty packaging papers business. So it seems to me a little bit different than some of the others that you've been doing and I wondered if you could help us understand that.
John Williams: Sure. So, I mean, if you look at that particular machine, so we had four machines in Port Huron. I mean, I have three, post the closure. The tail end of that business had some grades in it that quite frankly, Mark, we felt over time. We were not going to be able to build the EBITDA to any level that was attractive to us. So we felt we should just kind of, how would I put it, rationalize the product mix and that led to that machine being closed. Ashdown is a sort of simpler story in a way that very much commodity grades. Some of those are attractive and we're going to make them in the rest of the network. So you're quite right. Two different reasons for shutting. And also, from a productivity standpoint, we felt there were opportunities in Port Huron if we kind of downsized and drove our volume through the three remaining machines.
Mark Wilde: Okay. And just, kind of, following on that, John. You've got a couple of mills with small machines up in Wisconsin and you've got a couple of small machines up at Espanola. So could you just give us a sense of how those will stack up right now?
John Williams: Sure. So if you look at the Espanola, we make about 70,000 tons of paper in Espanola. And actually, we've got a very attractive mix in Espanola. So if you try and separate the Paper business in Espanola from the Pulp business in Espanola and you look at the margins in those Espanola grades, I mean, we're very happy with that. The grades out in Nekoosa -- Nekoosa actually is almost acting as a pipeline for moving some of those grades into our commodity-type mills, where we can be more competitive. A classic example of that would be the Appvion grades where we're able to develop really with Nekoosa in mind. And then, if you remember, we took that conversion in Marlboro to move those grades into Marlboro and actually that turned out to be very nicely profitable grades. So Nekoosa has its place in the network, I would say, and of course Rothschild, you know, there we're really doing our higher heavier weight grades. So that's kind of how the network fits together in terms of the appropriateness of these mills in our network.
Mark Wilde: Okay. The last one I had is just going over to Personal Care. Can you give us some sense for kind of margin targets for Personal Care over time? And what that trajectory might look like? I mean, I think, if we go back to when you first bought in that business, you bought about $150 million or $160 million of EBITDA. You probably put another $400 million or $500 million of capital in. I'm trying to get some sense of where that business may be able to go in the future.
John Williams: Sure. So I see no reason why we can't get back over a reasonable period of time to mid-double-digit margin. So I take hope from 11%, but 11% is far from enough. So I want to see that growing and I'd want to see the top line growing. We have some new wins coming in, in the fourth quarter and into 2020, which I think should lead us to high single-digit sales growth in that business. And then I'm expecting to get some margin momentum -- momentums over the time are coming out of 2020 into 2021 I’m getting closer to those kind of numbers.
Mark Wilde: Okay. That's helpful. I'll turn it over.
John Williams: All right. Thanks.
Operator: [Operator Instructions] We will now take our next question from George Staphos from Bank of America. Please go ahead.
George Staphos: Hi, everyone. Good morning. Thanks John, thanks Daniel. I just wanted to -- my first question is going to be a difference swag on Mark's question. So if I understood you correctly, you didn't get volume momentum on the new wins and you get high single-digit growth. I realize you're not going to put a very fine point on what your margin expectations on those wins would be certainly on a form like this. But are we to take that the starting up of those wins and the cost inherent means that you're really running more or less at current rates and then exiting at a higher margin in 2020 in the fourth quarter? Or should we see some rateable increase from what you can see right now in margin over the course of 2020 within Personal Care?
John Williams: Well I think it's more of the former than the latter. So obviously, as we absorb large chunks of business, there is a cost to absorption, there's a cost to startup. I think we should also remember we've shut a facility and we've moved a number of machines on the baby diaper side into our Delaware Ohio facility from Waco which we shut. We are recruiting people that leads us to some operating inefficiencies. I think we're probably going to have to live with them for three to six months. So I think latter half of next year is when you start to really see -- you should see anyway that -- the beginnings of that momentum in margin. I think the top line you're going to see sooner, but I think we might have some operational challenges just by absorbing that business in the shorter term.
George Staphos: John relatedly is the business investable at a 15% or mid double-digit margin level? Obviously, we've been waiting for that. The market hasn't been as positive for you as you would've expected. There are no guarantees on that we understand that, but at 15% or better, is it a business that's really worth Domtar holding onto? And one quick point on the margin improvement, how much that was just pulp pricing being lower?
John Williams: Not a lot of it. A little bit of it, but not a lot of it. I mean, a lot of it was -- we took large chunks of cost out by closing. So we have some benefit, but it wasn't a dramatic benefit. To my mind, the answer to your question is yes. I think is it for Domtar or not? I think what I really want to focus on is getting that business to a performance level where I'm comfortable, we know how to run the business ourselves and then we'll make our choices.
George Staphos: Okay. Understood. My last one is a quick one I'll turn it over and come back in queue. And perhaps you've already mentioned this in the past and if so I apologize. How much do you expect the fourth quarter outage at Espanola will cost for the P&L? How much of that is in the maintenance expense budget for 4Q? Thank you.
Daniel Buron: It's -- I mean all is in the maintenance budget. As you can see there's just the -- what's missing is the unabsorbed fixed cost that is probably $5 million or $6 million that we'll have to absorb without the sale on the other side. But the rest is actually on the maintenance slide that you have in the deck.
George Staphos: Thank you. Yeah, absolutely I'll be back. Thank you.
Daniel Buron: Thanks.
Operator: We will now take our next question from Mark Connelly from Stephens Incorporation. Please go ahead.
Mark Connelly: Thanks. John, obviously the strong dollar give imports a bigger boost than they might have otherwise gotten, but producers also had to change their mix and their configurations. Have you now made all of the great changes that you wanted to make in response to GP inclusive of what you're doing with Ashdown? Or is there still more to do?
John Williams: I think we're pretty much there. I think we're there. I think if you think about our focus in terms of kind of R&D, we're thinking long and hard about how can we substitute plastic in all kinds of different applications Mark because we feel there is an opportunity for a fiber-based business to really take that by the scruff of the neck over the next few years and develop it. But right now the grades are sitting across our network in the appropriate assets. Does that answers your question?
Mark Connelly: Yes. No that's helpful. And just a small second one. Weather impact across the South was extremely uneven, some states got hit really, really hard. How much did that impact you and are things back to normal more or less in your system right now?
John Williams: Things are very much back to normal. And interestingly, if you look at some of the tailwind we got in quarter three, some of that was really wood cost, particularly the end of the quarter coming back to reasonable levels, having been pretty high for longer than we were expecting in the year.
Mark Connelly: Sure. Understood. That’s what I was looking for. Thank you.
John Williams: You are welcome.
Operator: We will now take our next question from Chip Dillon from Vertical Research. Please go ahead.
Chip Dillon: Thank you. That's my French name.
John Williams: It sounds so much better. It sounds so much better Chip.
Chip Dillon: Oh I bet, especially to Daniel I'm sure. Listen, later all the details. First question has to do with capital spending for next year and maybe still a bit early but it is getting to the end of the year. Would it be likely that you would not have a major bump in CapEx in 2020, even assuming you make a plan to move forward with a project, it would seem like there'd be a little of time before you actually started to spend the money? Or am I putting you in a box? Could we actually see a ramp in the second half?
Daniel Buron: We're still in the planning phase Chip Dillon. We -- I guess, the question we need to answer internally is how much we're going to invest in our pulp plan next year versus spreading that a little bit more. So I expect for the time being something very similar to this year and we'll update you when the reflection will be done at our Q4 call.
Chip Dillon: And I guess on that it's a serendipitous I mean or should I say, one of the silver linings of a tough pulp market is it makes it less costly. Or there's less opportunity cost with maybe pushing a little faster on some of these projects, is that fair?
Daniel Buron: That's fair. And that's what we've done in -- by fixing if you will Espanola in Q3 and Q4. And that's part of the thought process we're going through for next year in terms of CapEx.
Chip Dillon: Okay. And then just last one quickly is John, I don't know if there's any progress report you can give us in terms of the -- I think it's called the circumvention investigation on some of the tariffs that some of the people have been shipping from third countries to try to get around it. Where does that stand? And maybe what's sort of your best guess as to when we think we'll get some information in terms of where that might -- where we might actually see some action?
John Williams: Yes. So we think probably midpoint of next year or sort of late in the first half in terms of the timing. I think what it does do Chip is they're sort of prepared to listen and have announced they're taking the case, importers start to wonder about whether this is sustainable. So that just makes them a little bit more careful around putting a lot of product through or at least certainly putting a lot of product into distribution systems. So it's going to take probably six to eight months I think before we really know.
Chip Dillon: Got you. But at the same time we're seeing maybe a little bit of marginal behavioral shift already?
John Williams: Well what is -- well that's interesting. Also what we are seeing with some of those customers who bought imports when people were nervous about actually getting paper supply. A number of them actually have got pretty frustrated with the supply chain and in a couple of large customer cases have actually come back to us. So -- and as you saw in quarter three, some of the imports reduced a little bit. So I think we'll just keep a watchful eye and see where that's headed.
Chip Dillon: Great. Very helpful. Thank you.
John Williams: You are welcome.
Operator: We'll now take our next question from Steve Chercover from D.A. Davidson. Please go ahead.
Steve Chercover: Thanks. Good morning, everyone.
John Williams: Good morning.
Steve Chercover: First of all, nice work on the repo. Can you remind us what is outstanding on the authorization please?
Daniel Buron: It's close to $150 million left on the authorization.
Steve Chercover: And is there an expiry on that Daniel?
Daniel Buron: There's not. I mean, the way we've managed that I mean, that's a program that was put in place I mean eight, nine years ago increased I think three times. So there is no expiring date. And when we're going to get closer to the consumption of the plan, we'll sit down with our Board, and we'll decide if we increase it again, to give us the flexibility to seize opportunity in the market when the stock goes where it was or – a couple of weeks ago.
Steve Chercover: Great. Thanks. And then sorry, I just can't write fast enough. Can you repeat what the exit prices were for paper and pulp versus the Q3 average?
Daniel Buron: For paper, it's $13 per ton lower and for pulp it was $18 per ton lower.
Steve Chercover: Thanks.
Daniel Buron: That's the September average versus the average of the quarter, so that – I mean, it's very clear.
Steve Chercover: Thanks for clarifying. And then with respect to the capacity reductions, I know that ultimately it's based on matching supply and demand. But is it safe to say that those – the machines in question were cash negative, and therefore the closure is accretive?
Daniel Buron: We took a large amount of lack of order downtime. Just in Q3, I think it was $125 million. So, it's not – we're – I mean that downtime was kind of taken in many places. So it's not that, we have paper that is not positive it's that we had lack of order. So, yes it's going to be positive to the extent that the fixed cost absorption that will disappear – the fixed cost that will disappear because of that.
Steve Chercover: But at the end of the day it's really about protecting the three million tons of freesheet not the 200,000 that goes away?
Daniel Buron: Absolutely.
John Williams: Exactly.
Steve Chercover: Okay. And then last one with respect to Ashdown, I mean, you're making – I assume that the freesheet is mainly hardwood and the fluff is mainly softwood. Is there excess softwood in that particular wood basket?
John Williams: There is. There absolutely is. So we know where we've talked about conversion with you. We've already done the work in terms of wood basket to know they are all possible based on wood supply, and we can be competitive on wood supply in those wood baskets.
Steve Chercover: Great. Thanks.
John Williams: I am following the Ruby World Cup. So I am not interested. But that's okay.
Operator: We'll take our next question from Adam Josephson from KeyBanc Capital Markets. Please go ahead.
Adam Josephson: Thanks. Good morning, everyone.
John Williams: Adam, good morning.
Adam Josephson: Good morning, John. John, just one on your import comments talking about the supply chain issues that some freesheet customers domestically are having. If some of those importers starting to leave then why make – why the need to permanently shut two of your machines? It seems like that the biggest problem in recent months was these lower-priced imports so if there are starting to leave, I wouldn't think that two permanent machine closures would necessarily be necessary?
John Williams: Well, I think you'll have to think about – if you look at market decline sort of over time we believe this is a market that's declining at 3.5% -- between 3% and 5% year-after-year. Less last year, but of course what we consider demand to some extent is also shipments. It's kind of a muddied, I think in terms of what's really going on in the market. So, two things, I mean, Port Huron is not really a reaction to overall uncoated freesheet, it's really a reaction to mix and a productivity opportunity in the machine part, we have left in the mill. So really the Ashdown machine closure is about putting – we took – as Daniel said earlier, we took a lot of downtime. There comes a point where you have to consider some of that is temporary. If you take our network, and you look at – you say to yourself, in any year in a three million ton network 90,000 tons if you take that 3% decline or 150,000 tons if you believe and 5% has to come out. So I don't think this is – I don't think we've closed stupidly ahead of potentially increased demand as exports – as imports come away. Also I think one has to remember, we kind of alluded to it in our remarks, but maybe we haven't been clear enough. Our productivity, when we are running machines has improved considerably. So, actually we can cope with a slightly smaller machine park and still generate good volumes. So I think those two things combined may complete sense for Ashdown. If that gives you a little bit more color?
Adam Josephson: No, I appreciate that, John. Just I know Brian asked earlier about recycled versus virgin in terms of a potential containerboard conversion. I want to take a look at the export angle. So to the extent that exports would be a part of your strategy in the event you were to convert a machine or more, obviously, the export markets have changed pretty dramatically over the past couple of years for the worse. And I know you keep talking about this as a long-term decision. But I mean when you look at all the capacity coming on globally, it could well be that export markets could be weak for quite some time to come. So how does that enter into your thought process about whether or whether or not to do this?
John Williams: Well, the answer is of course it does. We have to weigh it. We really didn't have export as a major chunk of what we were posing to do. We think there are plenty of domestic opportunities particularly for the volumes we may or may not bring on in the very short-term. Obviously we have the choices on pulp -- fluff pulp to make. I think if you back off to all of this you say to yourself, over the medium to long-term, we are attracted by softwood. We like softwood. We like softwood and pulp and obviously containerboard is largely a softwood play. So somehow we're going to make that play especially given how competitive our assets are. So we, obviously, weigh it I mean I think if we fell export was going to be horrible for a very long time. We've put that into our thinking and decide what to do about it.
Adam Josephson: Sure. And just one more on leverage and how you're thinking about capital allocation. So you went up to 1.2 times to do the repurchase, what are you comfortable levering up to in the event you choose to go ahead with one or more of these conversion projects and do whatever else you're thinking of doing?
Daniel Buron: I mean, our believe is we can do a conversion project, which is the normal cash flow of the business. I mean it's a year where, I mean we won't pay down debt or have cash sitting on the balance sheet. But I mean just the agenda -- cash agenda of the business I mean that -- those projects are kind of a two-year projects. So it's adding to our normal CapEx. But we don't believe, we will need to leverage significantly to do a conversion.
Adam Josephson: Thank you very much.
Operator: We will now take our next question from George Staphos from Bank of America. Please go ahead.
George Staphos: Thanks. A couple of questions on pulp and paper market. So John you said earlier, you're girding for some volatility in the pulp markets, which is the nature of the markets. I recognize this is a little bit more different period perhaps than what we've seen in the past. But what are you seeing on the ground particularly in China in terms of inventory levels, recognizing fluff pulp is different than hardwood pulp, which is where you have a big increase in inventories, which look to be coming down as well? So what are you seeing on the margin? And how much more volatile, should we expect the pulp markets to be given it's been pretty darn volatile for the last few decades?
John Williams: Well, of course, people who forecast this market I think normally end up in a padded cell. But I think what I would say is you have to think about end use. So think about the market that this is serving. So think about the tissue grades in Asia and China, think about baby diapers, think about adult diapers. All those are growth markets and continue to be growth markets probably faster than GDP. So to my mind, there'll be inventory leverage in plays every so often in terms of how especially when people are selling through agents. But to my mind the underlying demand curve in this business is still very attractive. So we've seen a very fast decline in the pricing. So it may be the future is a world of sort of choppier faster up and down cycles. Right now we believe this thing has largely bottomed out across most of the geography, not quite so much I think in the U.S. as we feel in China or in Asia. Our job as I see it, we've got a very disciplined pulp capital strategy to make ourselves ever more competitive. And actually as we said in our published remark, if we took Espanola out of this, actually we're still seeing positive EBITDA in our core pulp mills. So I think we've done a good job on cost. I like the demand in the end use for these products. So I think it's a commodity marketplace I accept that. But I still feel over time it remains attractive. And as you know when it's -- when prices are strong, it's a highly profitable enterprise.
George Staphos: All right. I appreciate the thoughts on that John. Have you seen -- you're commenting earlier in terms of import restrictions perhaps causing customers to maybe rethink their supply chain. Are you seeing to the extent that you can parse this and talk about it live Mike, are you seeing any change in purchasing behavior domestically related to what has been discussed announced commented on in terms of capacity over the next year or so? Are you seeing any kind of lift in customers' willingness to purchase may be inventory a little bit?
John Williams: Well, so I can only talk anecdotally. But there's no doubt, we've had a couple of customers who had gone for imports, thinking that was going to be a place where they could get regular supply. That supply chain has turned out to be painful for them and they've come to us because, we have this fantastic network where we can give you really strong delivery, strong service and strong quality. So, I think that -- I think if you think about it, I think we're probably going to see more of that over time as this inventory bubble kind of works its way out.
George Staphos: Understood. And then lastly, I'm assuming with Espanola most of the maintenance both sequentially and then year-on-year is in pulp versus paper. But could you provide a little bit more color on that? Thank you and good luck in the quarter guys.
John Williams: That's true George. You're exactly right.
George Staphos: All right. Thank you, very much.
John Williams: Thank you.
Operator: We will now take our next question from Paul Quinn from RBC Capital Markets. Please go ahead.
Paul Quinn: Yes, thanks very much. Good morning guys.
John Williams: Paul, good morning.
Paul Quinn: I just want to get some color on the closures. I know these decisions aren't easy, but you've taken or are taking 200,000 tons roughly out permanently, but if I annualize the market-related downtime in Q3 that's kind of 500,000 tons. You're John 3% to 5% out in the overall uncoated free-sheet it's kind of 250,000 to 300,000 tons a year. We've got the IP shut next year and then we've got the imports whether they go way. Maybe you could just help me understand, how you came up with shutting those two facilities? Why not more? Why not less?
John Williams: Well, I mean, I think we view -- if you go back to 2018, we think kind of an inventory bubble got built of about 300,000 tons in various places in the market, either in merchants or just across the piece. That kind of -- if you think about that versus an eight million ton market, that is beginning to slowly work its way out. So, we don't think that's a loss of 300,000 tons overall. So, I would take that out of the calculation. When we take that out of the calculation and we think of our network and we think about kind of a 3% decline year-on-year and you look at the downtime we've had to take, we think what we've done is appropriate versus our view going forward.
Paul Quinn: All right. That’s all I had. Best of luck. Thanks.
John Williams: Thank you.
Operator: We will now take our next question from Mark Wilde from BMO Capital Markets. Please go ahead.
Mark Wilde: Yes. John, I just wanted to come again on the conversions one more time. I just -- it always seems to me, one of the key issues for you when you think about this particularly in containerboard are channels to market. You're not in the business right now. You don't have any downstream converting. If you look at people who have built merchant machines over time, the risk is always as you bring that merchant machine up into a crappy market and then you're like having to sell at the worst possible prices. So, just update us on your thoughts about how you mitigate that kind of risk?
John Williams: Well, if you don't mind Mark, I don't really want to talk about it kind of...
Mark Wilde: Well just broadly.
John Williams: In open play. But I think, we are aware pretty clearly that we have to think very carefully about a route to market, whether that's a partnership, whether that's integrating in some way, whether that's a partnership in terms of integration. So, those are all discussions we continue to have.
Mark Wilde: All right. That’s fair.
John Williams: Thanks.
Operator: We will now take our next question from Brian Maguire from Goldman Sachs. Please go ahead.
Brian Maguire: Yes, thanks for taking my follow-up. In the color on 4Q in the outlook John, I think you talked about in paper; mix would be a little bit of a headwind. But you didn't I guess specifically talk about pricing there, obviously the color on where September prices were versus the 3Q average gives us some insight there though. Just wondering within that the price declines on paper both in 3Q and in September were less than some of the indices published. And I know that those aren't always 100% accurate for your own business. But just wondering if this is -- is that or is it more of a lagged impact that we would expect to see 4Q pricing even worse than where it was in September? Or maybe some of the recent published price declines impact 1Q 2020 more than they do in the second half of this year?
Daniel Buron: Let me take that one. I don't think we like to speculate on what future pricing would look like. I mean we've told all along, I think, that we deal that with our own customer. We have a very strong customer base. So the best we can do is share the September price versus the quarterly average, knowing that add to that a little bit of mix typically in Q4 and we'll just see where it's going to lead us at our Q4 earnings call.
Brian Maguire: Okay. Thank you.
Daniel Buron: All right.
Operator: We will now take our next question from Adam Josephson from KeyBanc Capital Markets. Please go ahead.
Adam Josephson: Thanks, again, everyone. John, just one on pulp end markets. I know you talked about short term, maybe there's a bottom who knows. But longer term, pulp demand growth over the past, really since 2009 has been 2% to 3% a year. Last year, it went -- it was basically flat. This year it's negative, partly because of what's happening with printing and writing grades around the world. I think tissue growth has slowed as well. What do you think long-term pulp demand growth is, just particularly given that printing and writing grades perhaps the declines who knows, but perhaps the declines are accelerating, I don't know. But if long-term demand growth isn't 2% to 3% perhaps for pulp, what do you think it is? And how does that kind of influence your thinking about the long-term attractiveness of that business?
John Williams: Well, I can only think in a way about our grades, right? So, we are really a softwood producer. And we are largely -- obviously, fluff pulp we think has a lot of runway. We're in a pretty good place on fluff pulp from a cost position, and we're in a pretty good place on Northern softwood and Southern softwood. My view is, therefore, what I think of the end-use market that those products are playing in and we have some specialty grades of course. I still think 2% to 3% is a reasonable proxy over time. I think it gets lumpy, largely because of inventory play where the marketplace obviously China that is driving a lot of this. Agents will arbitrage their inventory position for price negotiation which fair enough. That's the game they're in. So, I think you have to really look over a two-year period to really -- maybe even a three-year period to get a sense of the underlying growth. But that's kind of interesting. We sit in the Personal Care business, okay we're a small player. But adult incontinence products and baby products even in developed markets, I mean, diapers they're softer than they used to be in terms of demand, just because of birth-rates. But they are still strong businesses. So, I don't feel nervousness around the sort of underlying demand profile of end-use products in the grades that we're operating in. And to be frank, we made the decision to be in those grades. We came out of hardwood a long time ago, because we felt we couldn't be competitive. So, I mean I feel good about the pulp business especially -- sorry I'm giving you a long-winded answer. But I think especially allied to the work we are doing to make sure, we are very competitive in the facilities. I mean, we've got a three-to five-year plan to make sure we are.
Adam Josephson: John, just one last one on that point, how would you -- fluff is supposed to be a premium grade obviously the softwood. But it hasn't really acted like that for the better part of a year, if not longer. What do you -- how would you compare the profitability of those grades? And do you think that fluff will ever really de-link from softwood? Because we've heard in the past, that that was going to happen any day now and it rarely if ever seems to actually happen.
John Williams: Well, I think one of the issues there of course is the swing capacity question, because a lot of the capacity that can do fluff, can also do softwood. So, I could see people making choices, that if softwood is looking very unattractive, they're going to try and do pulp to do a little better…
Adam Josephson: Okay.
John Williams: … than they do on softwood. I think as softwood kind of comes up you will see fluff move up. But your point's well made. I'm not sure there's a true decoupling.
Adam Josephson: Thanks so much, John. Best of luck.
John Williams: Thanks.
Operator: We will now take our next question from Mark Wilde. Please go ahead.
Mark Wilde: Yeah. John, just a short one, can you just update us on the fiber supply situation for you guys out at Kamloops? I mean, you're in an area that's been pretty hard hit by the beetle. We're seeing a lot of downsizing in sawmill capacity right around Kamloops. So what does that mean?
John Williams: Well, we obviously looked at it pretty carefully. Yes. We've been impacted by some of those sawmill closures. When we look at it, it was a pretty small percentage of our supply, so, maybe $1 or $2 here and there on wood supply mark, but nothing structural that we have to be, wildly concerned about.
Mark Wilde: Okay, very good, good luck in a fourth quarter.
John Williams: Thank you very much.
Operator: [Operator Instructions] It appears there are no other questions at this time. You may continue.
Nicholas Estrela: So thank you, Daniel. We will release our fourth quarter and full year 2019 results on Friday, February 7 2020. Thank you for listening. And have a great day.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.